Unidentified Company Representative: Now we would like to begin TDK earnings call for the second quarter and fiscal year March 2024 for the first half results. Let me introduce the participants. We have the President and CEO, Noboru Saito; Executive Vice President, Tetsuji Yamanishi. Corporate Officer, Fumio Sashida, Corporate Officer, Taro Ikushima; Corporate Officer, Takao Tsutsui. That’s all and thank again for your precious time.
Tetsuji Yamanishi: This is Yamanishi speaking. I would like to thank you for your precious time despite your busy schedule to attend our earnings call for the first half for TDK, for the fiscal year ending March 2024. I'm so happy to have so many of you. Now allow me to go through the highlights of the first half earnings. The first background surrounding the earnings, although the global economic recoveries are observed in certain regions. But in Europe, the economy is stagnated due to the monitoring tightening. And in China, the economy slowed down due to the real estate recession. The economic negotiations vary depending on the region in equation, thus unstable situations continued. We also observed the foreign exchange impact and Japanese yen became cheaper vis-a-vis the U.S. dollar and euro. Under such a business environment, in the electronics industry, which affects our business performance. On top of the sluggish demand of ICT and hard disk drive markets due to the long lasting week final demand. We had a delay in the demand recovery in industrial equipment and automotive markets. On a year-on-year basis, our sales declined 5.6%. Operating profit was down 28.9%. Looking at the net sales by market. Passive Components declined significantly for ICT and industrial equipment markets. In the automotive market, though passive components and sensors grow, but the recovery of the demand turned out to be slow due to the inventory adjustments on the customer side, in particular. HDD demand also dropped significantly from the previous year. HDD heads and the suspension assemblies were down significantly. Small capacity rechargeable batteries for the ICT market remained almost the same in sales volume as the last year. But due to the declined prices of raw materials, driven by the declining material prices, its sales dropped. Sales of power supplies for industrial equipment continue to be strong. Next, allow me to explain the highlights of the first half results. With FX fluctuations, particularly to the U.S. dollar, net sales was up about ¥35.5 billion. Operating profit was up about ¥13.4 billion. Sales was ¥1,059.7 billion, down ¥62.3 billion or 5.6% year-on-year basis. Operating profit, ¥85.5 billion, down ¥34.8 billion or down 28.9% year-on-year. Profit before tax was ¥80.2 billion. Net profit attributable to owners of parent was ¥54.2 billion. Earnings per share was ¥142.86. As for the ForEx sensitivity, the same as the last time, between the Japanese yen and U.S. dollar, with the ¥1 fluctuation, we are assuming that its impact is about ¥2 billion for the full year. And between the Japanese yen and euro, its impact is about ¥600 million. Next, I will explain the situations by segment for the first half. Passive Components, net sales was ¥286.2 billion, down 3.3% year-on-year. Though xEVs and other automotive sales grew, but ICT and industrial equipment sales were down, pushing down profit by 41.2%. Sales to the automotive market increased in all business segments, but the orders vary depending on the other end markets and applications, specifically giving us nonuniform results among the lines of business. We're able to secure growth in sales and Ceramic Capacitors, thanks to the increased sales to the automotive market. But due to the deterioration in the product mix, its profit dropped. Aluminum film capacitors on top of the automotive market, we had a strong long-term orders for industrial equipment market. We enjoyed growth both in sales and profit. As for Inductive Devices, High-Frequency Components and Piezoelectric Material Products and Circuit Protection Components, sales for ICT market and industrial equipment as well as distributors declined, resulting in drops in sales and profit. Next, Sensor Application Products segment. Net sales was ¥86.1 billion, up 1.3% year-on-year. Operating profit was ¥5 billion, down 29.6%. Temperature and pressure sensors, thanks to the increased sales for automotive endured growth both in sales and profit. Magnetic sensors grew, thanks to the whole sensors for the automotive TMR sensors for smartphones also grew firmly. In contrast, MEMS sensors, though the motion sensors for automotive expanded in sales, but due to the drop in the sales to the ICT market resulted in the decline both in net sales and profit. Next, Magnetic Application Products. Net sales, ¥83.1 billion, a big drop of 24.4% year-on-year. Operating profit was a bit negative of ¥19 billion. HDD heads and suspensions, with the sluggish demand for HDDs, the total demand for HDD was down 25% year-on-year. In particular, the total demand for the nearline HDD dropped 43% both on HDD heads and suspensions dropped significantly in sales volume year-on-year, resulting in a big drop in net sales generating the loss. We expect the structural reform aiming at the proper production system as we had planned. For that cost, we booked about ¥900 million in the second quarter. The magnet for xEVs grown in sales, but industrial equipment and others declined in sales pushing down on the sales was the delay in the productivity improvement, the loss increased slightly. Next, Energy Application Products. Net sales was ¥578.9 billion, operating profit was ¥89.7 billion, down 3.9% in sales and operating profit was up by 10.9%. In the rechargeable batteries, sales volume of the small batteries for the smartphones was almost the same as the previous year, but revenue decreased due to the lower selling prices and the price discounting driven by the falling materials prices and sales of medium-sized batteries also declined due to the joint venture transfer. Despite the drop in sales, the company has secured a profit increase, including the effect of streamlining and FX gains. And power supplies for industrial equipment, revenue and profit increased due to the firm demand for semiconductor manufacturing equipment and the medical equipment, while the loss of power supplies for EVs narrowed significantly due to the effect of structural reform at the end of the previous fiscal year on top of the increased revenue. Next, the analysis for the ups and downs of operating profit being down of ¥34.8 billion. HDD heads and suspensions declined in sales volume and the passive components declined in volume as well as the deteriorated product mix and pushing down profit by ¥73.6 billion and with the selling price change, profit was down by ¥610 billion. Although we had a positive effect driven by the cheaper yen pushing up profit by ¥13.4 billion. Restructuring costs reduction in rechargeable batteries and passive components of ¥11.8 billion, and the effect of ¥8.4 billion coming from the structural reform executed in the previous year as well as the SG&A improvement by ¥21.2 billion, we were not able to absorb the impact coming from the drop in sales volume. Next, I'd like to explain second quarter results. The ForEx fluctuations into the U.S. dollar resulted in the growth in sales by about ¥17.4 billion and an operating profit by about ¥6.9 billion. Net sales was ¥556.3 billion, down ¥55.2 billion or 9% year-on-year basis. Operating profit was ¥59.2 billion, down ¥16.5 billion or 21.7%. Profit before tax was ¥59.2 billion. Net profit attributable to owners of parent was ¥39.5 billion. Earnings per share was ¥104.04. Next, I would like to explain factors behind the ups and downs in sales and operating profit by segment from the first quarter to the second quarter of the current fiscal year. First, in the Passive Components segment. Sales increased by ¥4.7 billion or 3.3% from the first quarter, and the operating profit was ¥3.4 billion, up 24.2%. And Sales to the automotive increased in all businesses, while sales to the ICT market, mainly in Inductive Devices and High-Frequency Components increased as the peak season for smartphones would come up. On the other hand, sales to industrial equipment and distributors declined overall, partly due to the inventory adjustments and overall sales of passive components increased slightly from the first quarter. Operating profit increased due to the cost improvement we carried out. Next, Sensor Application Products. Sales was up by ¥8.5 billion, and operating profit was up by ¥3.7 billion. Temperature and pressure sensors for automotive applications remained strong, and the sales of magnetic sensors for ICT applications increased significantly as the peak season for smartphones arrived. Of particular notice is the big growth both in the sales and the profit due to the advanced orders from the third quarter. In MEMS Sensors, sales of motion sensors for game consoles declined. Microphones grown in sales. For the total MEMS, revenue increased slightly, and the profit became almost flat since the first quarter. Next, Magnetic Application Products. Sales was up ¥6.6 billion or 17.3%. Operating profit was up ¥300 million, including the cost of ¥900 million for the structural reform, which incurred in the second quarter. Well, the total demand for nearline HDDs remained almost flat. HDD heads sales volume increased approximately 40% from the first quarter, partly due to the orders received ahead of the schedule from the third quarter, while suspension sales volume declined about 5%, resulting in an overall increase in heads sales. If we are to exclude the restructuring costs of about ¥900 million incurred in the second quarter, partly thanks to the increased sales volume, the deficit has become smaller. As for the Magnetic, sales remained almost flat, but the deficit has improved. Next, Energy Application Products segment. Sales was up ¥29.1 billion or 10.6%. Operating profit shows a big increase of ¥25.3 billion. In the rechargeable battery business, sales of medium-sized batteries decreased due to the transfer to the joint venture, while sales of small batteries to smartphones in China increased, resulting in a significant increase in overall sales and profit. Industrial power supplies remained firm. Sales on power supplies for the EVs remained flat, but profitability improved. Next in the last section, I would like to explain the cash flow situations. For the first half, operating cash flow was ¥204.6 billion, CapEx and investment cash flow was ¥98.5 billion, and free cash flow was ¥106 billion. Taking into account the demand situations in the markets, we carried out a thorough inventory optimization and by further improving other working capitals, we improved our operating cash flow dramatically. We also made a careful judgment on capital investment, taking into account of the supply and demand situations, generating a big increase in our free cash flow. Although we revised our earnings forecast downward when we announced the first quarter results, we did not change our cash flow forecast from the initial plan and maintained the free cash flow of ¥80 billion for the full year. Though first half results already exceeded this level by a wide margin, we'll continue to aim for further improvements in the second half. This concludes my explanation. Thank you for your kind attention.
Noboru Saito: This is Saito. Thank you for joining us today, and I will now full year -- explain our full year earnings forecast for the fiscal year March 2024. The global economy showed the increasing signs of slowdown due to a further rise in geopolitical risks, high interest rate policies to control inflation in the U.S. and Europe and real estate slump in China. Under these circumstances, as explained earlier, although the production in the electronics market as a whole showed down -- slowed down to sluggish end use demand. The result for the first half of the fiscal year March 2024 exceeded the forecast announced on August 2, 2023, partly due to the effects of the depreciation of yen. As for the future outlook, we expect the production volume of nearline HDDs for smartphones and the data center to remain below the assumption made in the August announcement. And in particular, we expect a slow recovery in demand in the industrial equipment market. And in automotive markets, the recovery of demand is expected to be slower than we previously assumed due to the components of inventory adjustments by some customers and the market environment surrounding our business is expected to remain uncertain. In light of these circumstances, our full year forecast for the fiscal year March 2024 remain unchanged from those revised in August with net sales of ¥1,970 billion, operating income of ¥150 billion and net income of ¥105 billion, and we assume an exchange rate of ¥130 for the second half of the year and changed from the beginning of the fiscal year. With regard to the cash flow, as explained earlier, operating cash flow is also on an increasing trend, and we will maintain the ¥80 billion that we explained in August. There was no change in the dividend from the beginning of the fiscal year that we'd like to do further. And there's no change in dividend from the beginning of the fiscal year. As explained now, we have revised the production volume forecast for major devices related to our company, which is just the earnings forecast, as you can see. As for the automotive markets, the shortage of semiconductors and other factors are on the way to being resolved. And the growth and the number of xEVs, in particular, has been strong. Therefore, production units stayed the same, although there is some uncertainties. On the other hand, as we explained in August, we expect a gradual recovery in the demand for components, although the degree of adjustment of the company of components inventories vary from the customer to customer. Smartphone production volume, which represents the ICT market was revised from the August assumption of 1.108 billion units to 1.102 billion units. Although the assumption was still revised from the beginning of the period. Next, regarding the HDD market due to the rapid changes in the data center investment environment, consumers continue to adjust HDD inventories, and we have revised the production volume of nearline HDDs for data centers downward from the August volume to 40 million units. I'd like to continue with an overview of the sales increase and the decrease from the second to the third quarter of the current fiscal year. This assumption includes a negative impact of about 10% of each segment due to the yen depreciation by about ¥40 from the actual exchange rate and the Q2. As for Passive Components, all of those sales of Ceramic Capacitors for Automotive Applications will increase. Overall, sales of Passive Components are expected to decline by 5% to 8% due to lower sales of Aluminum film capacitors for Industrial Equipments and other Passive Components for ICT applications. In Sensor Application Products, sales of Temperature and Pressure Sensors for automotive are expected to be strong, but sales of Magnetic Sensors and MEMS microphones for ICT applications are expected to decrease in the Q3 due to the impact of accelerated front-loading of the component sales from the Q3 to Q2, resulting in an overall decrease of 6% to 9%. In the area of a Magnetic Application Products, HDD heads and suspensions are also expected to see a 15% to 18% decline in overall sales from the Q2 to Q3 due to the front-loading from Q3 to Q2. And while the sales volume for heads is expected to remain almost flat, sales volume for suspension is expected to decline by approximately 23%. We had previously explained that heads sales volume would be 1.8x higher in the second half of the year than in the first half. But due to the advance and the front-loading of the Q3 to Q2 and the delay in the timing of the project launch, we now expect an increase of about 1.3x -- not 1.8x, but 1.3x. In Energy Application Products, sales volume of small rechargeable batteries is expected to decline slightly, while overall sales are expected to decrease by 12% to 15% due to the ongoing transfer of the medium-sized rechargeable batteries to the joint ventures. As a result, we expect an overall decrease of 10% to 13%. In addition to the image of the sales increase and the decrease that I have just explained, I will provide a supplementary explanation of the future outlook for passive components by market based on the Q2 results. Sales through the automotive market increased 9.5% year-on-year and they are also on an upward trend on quarter-on-quarter basis. Although the degree of adjustments and component inventories varies by customer, we expect the upward trend to continue due to the increase in the number of xEVs and the increase in the number of components per vehicle. On the other hand, the industrial equipment market is down 5% from the first half of the previous year. The ICT market is down 19%. And other markets mainly for distributors are down 24%, and we expect this adjustment phase to last a little longer. Having reported under the current business outlook, I would like to conclude with an explanation of our efforts to improve the return to capital. Beginning into the fiscal year March 2022, the company has classified its approximately 80 business units within 4 segments into 6 layers based on 2 axes. Number one, return on invested capital; and two, the business potential to qualify the weights of investment allocations and to transform and optimize the business portfolio. This chart, now you see here, summarizes the positioning of our major business units and the direction of the growth and improvements. Let me explain the following with the charts. Therefore, return on invested capital, we have set a WACC, W-A-C-C, weighted average cost of capital of 10% as a hurdle rate. And we are prioritizing investments in the businesses that meet this hurdle rate and have high future potential such as MLCCs, small rechargeable batteries, TMR sensors and motion sensors that are all -- and as a sustainable high-profit businesses. I will explain that the measure to be taken for each of these businesses, including those that I explained as a strategic growth businesses at the beginning of this fiscal year. With regard to TMR sensors, we expect continued business expansion for ICT applications such as smartphones and for high-performance motor angle sensors for automobiles and the industrial robots. And as we explained in April, we are continuing our efforts to expand our capacity. And in addition, we started mass production of current sensor products for EVs last year. And as announced in our recent press release, we have decided to form a strategic alliance with LEM, L-E-M, company -- the largest company in the current sensor industry. By partnering with the industry, the largest company, we will accelerate our prevention not only into automotive EV applications, but also into various other applications such as renewable energy, industrial equipment and home appliances. Regarding MEMS motion sensors, we believe that demand for the MEMS motion sensors will continue to grow significantly in future as a gateway to capture motion information for various applications in the DX society. In particular, sales have been strong for automotive applications. We will continue to refine our cutting-edge design and development capabilities to prepare for the sustained market growth over the medium- to long-term basis. As for MLCC, demand continues to increase steadily, especially for high-performance, high-reliability products used in xEV and ADAS applications. And we are on a track to double our capacity and in the fiscal year March 2025 compared to the fiscal March 2021. And we'll also -- and further enhancement of capacity is under consideration. In the area of smaller rechargeable batteries, we will continue to maintain our position as the top runner in small rechargeable batteries for the ICT by continuously developing and introducing cutting-edge technologies. Even though we do not expect a significant growth in the production of ICT devices such as smartphones, still we will enhance our cost competitiveness and ensure profitability by solely and the manpower savings automations and rationalization. Regarding medium-sized rechargeable batteries, the joint venture with the CATL started full-scale mass production in April of this year and the transfer to the new plant is progressing smoothly. As the only manufacturer specializing in medium-sized rechargeable batteries, the joint venture plans to expand its market share and sales by taking advantage obviously the broader product lineup, safety, long-term reliability, mass production know-how and the scalability. In addition to the residential ESS, the joint venture plans to expand its applications to industrial and commercial ESS, aiming to achieve consolidated sales of over ¥100 billion end of the fiscal year March 2027 and the ¥400 billion to ¥500 billion end of fiscal year March 2030. Next, I would like to explain the turnaround enhancement project, which is shown on the lower left. In Magnets, the delay in productivity improvements of our products for automotive is an issue, and we are aiming for an early turnaround by mobilizing all our resources, including the production technology and materials development centers of the head office functions in addition to the business divisions. In parallel, businesses for the automotive industry where the time cycle for design into the mass production is long, we are working to further tighten the criteria for the decision-making to go when business is committed. With regard to power supplies for EVs, the profitability is on an improving trend as procurement issues such as semiconductor shortages have been resolved, and we are aiming for an early turnaround. As for MEMS microphones, we expect demand for digital microphones for smartphones and wearable devices to increase and we will aim to secure the top line by acquiring new businesses. As explained about, now we will further strengthen our business portfolio by continuing to further strengthen our highly profitable businesses while continuing to implement proper measures to turn around our problem businesses. Although the current economic environment is very uncertain, we will continue to promote our growth strategy by continuing to implement measures that we can and should take internally that is measured to increase our own strengths to ensure that we can ride the big wave of the EX and DX. The measures -- the actions I've just explained will lead to the basic concept of the next midterm business plan. More specific details of the plan will be announced in May of next year. But in order to achieve a new stage of growth for a company, we will improve capital efficiency and significantly grow strategic growth businesses such as Passive Components and Sensors as a major earnings [indiscernible] following the rechargeable battery business. That concludes my presentation. Thank you very much for your kind attention. Thank you very much.
End of Q&A: